Operator: Ladies and gentlemen thank you for standing by. Welcome to the Radcom Limited First Quarter 2013 results conference call. All participants are at present in listen only mode. Following management’s formal presentation instruction will be given for the question and answer session. (Operator Instructions) As a reminder, this conference is being recorded April 24, 2013. I would now like to hand over the call to Ms. [Nova Fischer]. Ms. Fischer would you like to begin.
[Nova Fischer]: Yes, [Messiah] thank you very much and thank you all for joining us. With me today are Radcom’s CEO David Ripstein and CFO Gilad Yehudai. By now we assume you have seen the earnings press release which was issued earlier today. It is available on all the major financial news feeds. Before we begin I’d like to review the Safe Harbor provision. Forward-looking statements in the conference call involve a number of risks and uncertainties including but not limited to product demand, pricing, market acceptance, changing economic conditions, product technology development, the effect of the company’s accounting policies and other risk factors detailed in the company’s SEC filings. I would like to draw your attention to the fact that the company publish of 20-F filing for 2012 earlier this week. The company does not undertake to update forward-looking statements. In this conference call management will be referring to certain non-GAAP financial measures which are provided to enhance the users overall understanding of the company’s financial performance. By excluding certain non-cash charges non-GAAP results provide information that is useful in assessing Radcom’s core operating performance and in evaluating and comparing our results of operation on a consistent basis from period to period. The presentation of this additional information is not meant to be considered a substitute to the corresponding financial measures prepared in accordance with generally accepted accounting principles. Investors are encouraged to review the reconciliations of GAAP to non-GAAP financial measures which are included in the quarter’s earnings release. Now, I’d like to turn the call over to David. Go ahead please.
David Ripstein: Thank you, Nova and thank you all for joining us today. We are pleased to report another good quarter. This was our second straight quarter which results that are inline with our budget and our plans for generating strong growth in 2013. Our sales were up to 9% year-on-year and we had a good increase in our gross margin. In addition, we have cut our expenses by almost the minimum during the third quarter. On the results we have been able to reduce our net loss by 32%. Just as important this quarter we had positive cash flow for the fifth time in a long time totaling 7% of our revenues, this shows focus that we are making and executing a number of key projects, some that has been frozen during the industry slowdown last year. In fact we are seeing that now driven by the adoption of the LTE in the emerging markets, operators are pushing their interest after projects ahead. And this is benefiting and we’ll continue to benefit Radcom. The operators actually don't have much choice, data traffic continues to climb an existing networks are hitting their limits. Operators recognize the need for tools to guarantee network performance and customer satisfaction. This has brought us a very strong pipeline opportunity with both new and repeat customers. So the clear needs in the market and this is an opportunity that we’ll continue to drive ourselves. We're encouraged by the higher rate of the repeat business that we have been able to achieve in the past and as we expect to continue driving our business in the future. We now have over 60 customers using our product with a high level of satisfaction. Many of them represent a strong potential for additional sales as they continue upgrading and evolving their networks. For example, during the quarter we expand there Omni-Q spend for our existing customers, a South American cellular operator, this was a deal worth $2.2 million our third expansion project with this particular operator. In the past we deploy systems for monitoring the mobile data and 3G network. This new system will extend to new sites and speed while also during them coverage of the LTE domain. In parallel, we continue to seek out new channel for penetrating new customers end markets. During the quarter, we announced a joint venture with (inaudible) in which our Voice-over-IP solution will be integrated into their service gateway platform. This act through their channels we have already established with HP and Omni because that and motivation is to combine our technology with thus in order to gain access to classes of customers that we could not reach by ourselves. This is beginning to [earth loss] and we believe the direction offers a lot of potential. In addition, we are seeing that the QiSolve our new self optimizing network SON is creating a lot of interest in the market bringing added value to our proposal for some large strategic opportunities. These give us confidence that it could be become an important new growth engine. So we are currently standing in a very good position and continue to be optimistic as we look to the future. We continue to deliver improvement in our revenues, margins and bottom line results. We are executing on a strong backlog bringing in positive cash flow into the company. We are seeing a high level of interest in our product and closing important deals which both repeat and new customers. In general, the market needs for our product is strong and budget are available. We believe this cycle will continue for some time. In short, we believe that all the pieces I am pleased to drive Radcom to a new level. We are confident and excited as we continue to move forward. With that I will turn the call over to Gilad. Gilad please.
Gilad Yehudai: Thank you, David and hello everyone. Since you have the press release before you, I will just go over the highlights, to give a better understanding of our results, I will be referring only to Non- GAAP results which exclude share based compensation for all periods. Revenues for the quarter were up 9%, $4.6 million which in line with our plan for delivering improved results in 2013. In part this is a result of the progress that we've made on a number of projects, and have been moving slowly last year. We've made significant improvement in our execution of large projects and this is helping us to recognize revenues faster on average. It also has been a key to receive an expansion orders from these customers, often as higher margins and the shorter delivery times. As a results, we are able to collect on a number of significant months of payment and to record positive cash flow $327,000. Gross margin for the quarter increased to 66% from 63% in the first quarter of 2012. This is still slightly below our long term target margin of about 68% but we will be moving toward that level as our revenues increase. Our operating expenses now show the full effect of the costs cutting program that we completed last year. As you can see they’re down by nearly $1 million compared to the first quarter of last year, which is a leave a better than what we have budgeted. As a result, our breakeven on a non-GAAP operating basis is now approximately $5 million depending upon the exact gross margin for any given quarter. The combination of the higher revenues and lower operating expenses enables us to reduce our operating loss by 75% and our net loss by 72%. Our non-GAAP measures for the quarter was 512,000 or $0.08 per share. With increasing sales and stable expenses we expect for our bottom line results continue to improve significantly in the year ahead. Turning to the balance sheet, our net cash increase compared [to it] last year. This, other balance sheet product service within our budget and plan for the quarter. So taking as a whole we’re on track and working at according to plan which is turning to company around and building it to the next level. Back to you David.
David Ripstein: Thank you, Gilad. Before taking your questions, I would like to thank you for your ongoing support. The first quarter was good for the company and we are on track to achieving a strong 2013. We’re excited about the future and look forward to reporting continued progress in the quarters ahead. With that we would be to happy to take your questions. Operator?
Operator: Thank you. (Operator Instructions). There are no questions at this time. Mr. Ripstein, would you like to make a concluding statement.
David Ripstein: Yes, thank you, Nova. Thank you, Gilad and to all for participating in this conference call.
Operator: Thank you. This concludes the Radcom Limited first quarter 2013 results conference call. Thank you for your participation. You may go ahead and disconnect.